Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:06 Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Quebecor Inc.’s Financial Results for the twenty twenty one Third quarter Conference Call. I would like to introduce Hugues Simard, Chief Financial Officer of Quebecor Inc. Please go ahead.
Hugues Simard: 00:23 Good morning, everyone. Ladies and gentlemen well to this conference call. Joining me to discuss our financial and operating results for the third quarter of twenty twenty one is, Pierre Karl Péladeau, our President and Chief Executive Officer. Any one unable to attend the conference call will be able to listen to a recording by telephone or webcast. Access details are available on Quebecor’s website at www.quebecor.com. The recording will be available until the second of February of next year. 00:57 I also want to inform you that certain statements made on the call today may be considered forward looking, and we would refer you to the risk factors outlined in today's press release and reports filed by the corporation with regulatory authorities. 01:10 Let me now turn the floor to Pierre Karl Péladeau.
Pierre Karl Péladeau : 01:14 Good morning, everyone. As we announced last quarter, we are moving ahead with our plans towards the expansion of our telecom services across Canada. Thereby creating a real competitive dynamic and bringing to Canadians the benefit of technological innovation, superior wide experience and lower prices. 01:40 The first step restores our objective of the coming the fourth independent wireless provider in English Canada became a reality in July with our investment of nearly eight thirty million in the acquisition of two ninety four blocks of spectrum in the three thousand five hundred megahertz band across Quebec, Ontario, Manitoba, Alberta and British Columbia. 02:09 Our investment of three fifty seven million dollars for one hundred nineteen licenses in Quebec will enhance an already solid spectrum base acquired throughout the last decade, starting in twenty eight prior to the launch of our facility based wireless operations. These licenses will be used for the deployment of our 5G platform, which is already in operation in Montreal and Quebec City. 02:40 The remaining investment of four thirty two million is dedicated to the acquisitions of licenses in the main regions of the aforementioned provinces. On this topic, I have to say that we were surprised by court initiative against the government of Canada to try and block the award of these licenses to Videotron. 03:10 That being said, we will release, although not surprised this time that the federal court clearly tells that its claims was without merit and denied [Technical Difficulty] sustainable and do not raise a serious issue. This is the paragraph two and I still quote; the disciplined factor is the public interest in fostering greater competition and the market for mobile services and this is the paragraph four. 03:54 It is sad to realize the lens to which Telus and Bell will go to delay, block, and to ultimately squeeze out at all costs. Any efforts to create healthy competition and ultimately lower the prices Canadian pay for mobile services. 04:17 We continue to call on governmental and regulatory authority to issue the licenses and marginally ensure that their longstanding competition policy and objectives are back by concrete actions forcing the incumbents to actively cooperate and take the necessary step so that Canadians are not less paying amongst the highest telecom prices around the industrial lines of the world. 04:51 I would also like to comment on our recent court action against Rogers. Our long time ally and partner in building a joint wireless network and connect. To remain on the legal side of business and keeping in mind that the [indiscernible] rule, as well as the respect owned to the court, I will not comment any further nor I will answer any questions regarding this matter. 05:25 The only thing I wish to share is that over the last years, as described in the claim, we've always strived through the network sharing committee, to find answers and solution to the various change request demands and other [indiscernible] from Rogers new management. But every time we met Rogers request, they came back with further and higher demand. And since Rogers felt comfortable, they state publicly that we fail to meet the investment asked to improve our joint network to benefit our customers. I myself feel comfortable to say that is far from the truth to say the least. 06:24 As you know, Videotron has been recognized for many years as the most respected telecom company in Quebec. Could this be possible without adding our clients, at the center of everything we do? We always acted as a true partner to Rogers and try to avoid the unpleasant publicity of a public report, negotiating a suspension of the time limitation period of three years according to the law to give ourselves a chance to settle our differences, but to know where. 07:10 Given the current events at Rogers, we now understand why our discussions were not a priority and sincerely hoped that when the air clears at Rogers, we may have a chance to engage in a constructive dialogue with open minded individuals. 07:36 Turning to operational matters. We launched Vrai, the first French language video subscription platform dedicated exclusive on scripted lifestyle, documentary, and entertainment content. In just a few weeks, we recorded seventeen thousand subscribers and over two hundred thousand views. 08:02 We will offer full original production this year and over one hundred original Quebec reductions by the end of twenty twenty two. Along with the success of Club illico, which has dedicated to series, movies, and new programs this new platform will enhance and complement our content offering. 08:27 We are expanding our collaborations with local producers and we will continue to significantly invest in the production of new local content, thereby strengthening our leadership position as the largest catalyst for original French productions in Quebec. Speaking of critical, our own successful OTT, we launched our programming two weeks ago with a number of new majors original series and an exceptional twenty twenty one, twenty twenty two lineup up featuring leading figures of Quebec cultures such as the Patrick Senecal, [indiscernible] as well as [indiscernible]. 09:17 Finally, bringing all of these investment together, we also unveiled a new digital platform that brings all of Quebecor news and entertainment content together in one place. Available on the web and via a mobile app this is a unique showcase with a vast quantity multi-source, multi-format content, where users will have access to millions of items including tax, music, video and audio in a single environment, live and or on-demand. 09:59 Once again, on the forefront of innovation and anticipating market demand and trends, [indiscernible] will further reinforce one of Quebecor’s most important competitive advantage against our national competitors. Our unmatched ability to produce and deliver unique differentiating new and entertainment content. 10:26 On the B2B front, we’re pleased to announce that the Videotron business, team up with X-Telia, a Quebec-based technology company to offer a wider range of connected solution to accelerate the digital transformation of cities, municipalities, government organizations and businesses across Quebec and provide them with solution for weight management, water management, and quality smart parking, environment management and noise pollution. 10:59 Videotron also recently landed a major contract for IoT services with the STM, which is the Montréal public transit authority, further strengthening its leadership position in Quebec. 11:16 Moreover, in September Videotron [indiscernible] announced partnership with [Trois‑Rivières] [ph], which is a new team with the ECHL. The new Trois-Rivières arena is now named Colisée Videotron and TVA Sports is an exclusive official broadcaster of the Lions de Trois‑Rivières’ home games. 11:39 This partnership demonstrates our continued commitment to Quebec’s sport and entertainment industry, supporting and promoting the next generation of Quebec athletes, as well as contributing to the economic development of Quebec regions through investment that benefits local community. 12:00 I will now review our operational results starting with our Telecom segment. On the wireless front, we posted forty one thousand net adds during the quarter. Despite a continued aggressive competition from a loading and renewal perspective, especially towards the end of the quarter, we were able to keep our returns flat year over year and once again capture the largest share of growth as by far with thirty seven percent of the market, our best performance ever and with our Videotron and Fizz brands coming in first and second position respectively according to a [indiscernible] marketing service. 12:56 Consolidated wireless ARPU for the quarter declined one point six percent or zero point eight three dollars versus twenty twenty. This decline is explained in large part by the dilutive impact of BYOD model or Fins combined with a decline in roaming and data usage revenues. 13:19 Videotron recently enhanced its value proposition regarding the equipment installment plan by launching in September the take back credit program option, allowing customers to further benefit from reduced monthly phone payments in broadband. 13:37 We are pleased to report another strong quarter with a growth in internet subscribers of twenty two thousand five hundred, two thousand more than during the third quarter last year, and a two point one percent or one dollars thirteen Internet ARPU growth. 13:57 In the quarter, more than one hundred thousand installations were completed bringing our total subscribers to over one million as of September thirty, twenty twenty one. Our Helix TV continues to help lower our TV turn rate and mitigate our TV subscriber decline, which was thirteen thousand four hundred in the quarter, an improvement of more than two thousand compared to the third quarter last year. 14:33 We continue to promote Helix self-installations and we are very satisfied with the result thus far. We have already surpassed one hundred thousand self-installation since the launch in March twenty twenty one and are pleased to report a ninety three percent overall customer satisfaction rate. This program has proven to be very successful and will continue to improve it to maintain the current satisfaction rate level. 15:07 In our media segment, advertising revenues continue to increase particularly in our television network where they came in higher than the same quarter of last year, but also the twenty two percent higher than the same quarter in twenty nineteen, which is as you know pre-pandemic. 15:32 Our consolidated market share reached thirty eight point two percent for the quarter, strengthening our leadership position in the Quebec market with such [indiscernible] the French version of [indiscernible] gains. 15:50 Building on our number one franchise, we continued to increase our investment in content, the strategy that is reflected in our call programming with a wealth of new shows, original production, and exclusive content for our digital platforms such as TVA+, which continue to grow and build on its strong popularity. 16:16 Our array of content is broader and more diverse than ever and is available on multiple platform to reach more Québec on a daily basis and bring them together for major television events. 16:34 Our film production and audio visual services segment also performed very well with high demand from mega production such as parallel picture mega production Transformers, Rise of the Beast and also from major online streaming player. Mail services are increasingly being recognized and used by international clients, placing us in the enviable position of being able to take advantage of the current market growth and plan for expansion, our facilities with the upcoming constructions of MELS 4. 17:20 Our virtual stage services continue to draw the attention of producers with greater numbers using the technology to facilitate shooting certain scenes or creating advertising. 17:36 I will now let Hugues review our financial results.
Hugues Simard: 17:44 Quebecor’s revenues were up three percent in the quarter to one point one five billion dollars and EBITDA was up by more than one percent at five twenty million dollars. Third quarter revenue growth from our telecom segment was flat as compared to last year. As the growth from Internet access and mobile telephony up six percent and eight percent respectively, with [indiscernible] by reduction in mobile equipment with more BYOD than in Q3 last year, and also the stabilization of the growth in Helix equipment sales, which drove most of the top line increase in prior quarters. 18:21 Our Telecom segment EBITDA posted a decline of one percent compared to last year, as a result of a nineteen million dollar unfavorable impact – of the impact of a nineteen million dollar one-time item in the third quarter of last year. Without the impact of the twenty twenty one-time item, our telecom EBITDA would have grown by two point six percent in the quarter. 18:45 Our overall EBITDA margin remained strong at fifty one percent for the third quarter, still one of the highest in the Canadian telecom market. Our media segment recorded revenues of one hundred and ninety one million dollars, a twenty one percent increase and an EBITDA of thirty seven million dollars of forty seven percent increase compared to the same period last year. 19:07 In our media segment, TVA Group continues to benefit from the improvement of activities from almost all of its sectors as evidenced by the twenty six percent and fifty two percent respective increases in revenues and EBITDA during the third quarter. 19:23 Quebecor reported a net income attributable to shareholders of one hundred and seventy three million dollars in the quarter or zero point seven one dollars per share, a thirty two million dollar increase compared to the same period last year. 19:37 In addition to the EBITDA improvement, this increase is also explained by the gain on valuation and translation of financial instruments related to our convertible debentures, as well as to the restructuring initiatives that were put in place during the quarter. 19:54 Adjusted income from continuing operations, excluding unusual items and gains or losses on valuation of financial instruments, payment at one hundred and seventy six million dollars or zero point seven three dollars per share, compared to an adjusted income of one hundred and seventy three million dollars or zero point six nine dollars per share in the same quarter last year. 20:13 For the first nine months of the year, Quebecor’s revenues were up six percent to three point three seven billion dollars and EBITDA was up three percent to one point four seven billion dollars. Revenues from our Telecom segment grew four percent to two point seven eight billion dollars and EBITDA increased two percent to one point four one billion dollars for the same period. 20:35 Telecom CapEx spending, excluding spectrum, was down [eighteen] [ph] million dollars for the quarter as compared to the previous year, mainly due to the timing of some of our investments. 20:47 On a year to date basis, CapEx spending is comparable to last year with continued deployment of the LTE-A of the events or 10 or 5G rollout as planned. Our cash flow from operations for the third quarter of twenty twenty one increased by twenty million dollars or six percent, the three sixty six million dollars once again demonstrating the resilience and strength of our business model, as well as our continued operational and financial discipline. 21:16 Cash flow from operations from our Telecom segment grew eleven million dollars or four percent to three thirty seven million. TVA Group's cash flow from operations grew forty four percent to twenty nine million dollars in the quarter. 21:30 As of the end of the quarter, our net debt to EBITDA ratio was two point eight zero, up from 2.76 reported at the end of the third quarter of last year, still one of the lowest in the telecom in the street competitors and Peers in Canada. 21:49 Despite the redemption of Videotron’s five percent senior notes and Quebecor media’s six percent and five eight percent senior notes in July, with two point three billion dollars in available liquidity at the end of the third quarter. With growing free cash flows and strong credit profile, our liquidities are giving us the flexibility to continue and invest in strategically important growth projects, such as mobile telephony, investing in content and continuing to invest in studios. 22:18 During the first five months of the year, we purchased and canceled seven point one million Class B shares for a total investment of two twenty six million dollars, since we initiated our NCIB program ten years ago, approximately forty seven point seven million Class B shares have been purchased and canceled. 22:37 We thank you for your attention and would now like to open the lines for your questions.
Operator: 22:48 All right. [Operator Instructions] Frist question comes from Jerome Dubreuil from Desjardins. Please go ahead. Jerome?
Jerome Dubreuil: 23:06 Thanks for taking my question. First question on the media front, good results. Just looking to see how recurrence are the good results in terms of film production. I know this business can sometimes be lumpy, but I also think you've made significant investments in that business. Can we expect such good results going forward as well?
Pierre Karl Péladeau : 23:34 Well, thank you Jerome and I guess that [indiscernible]. Looking forward, it's not always an easy exercise. As we and we will certainly have the opportunity to talk a little bit more, but expect questions regarding the telecom environment. And I would say that in the broadcasting industry lots are quite competitive. Obviously, we're getting out of a situation where pandemic was certainly not the best environment. 24:07 As know the advertising revenues were certainly not in the best conditions given that most of the retail business were closed and significant businesses were not performing. But we need to say that in front of us, we have two maintain competitors Bell, which with a specialty channels lineup and generally are much more in a better position than the previous owner and in fact these other kinds of representation we made in front of the CRTC they have a national platform in English and in French, which we do not and that also will provide the capacity for them to move forward. 25:03 The good thing and it's been also used by our competitors and Canada is one of that, which is the second one I was referring to earlier is that we have many platforms. So, if we are investing and this is we do as example, and I mentioned it in my presentation in Club illico and/or in Vrai, which is our new OTT and documentary platform. This also give us the opportunity to rebroadcast this content on the other platform. 25:41 So, we are multiplying the amount of vehicles, which we are able to use to generate advertising and keep our audiences as much as possible. So, this is something that we've been doing for many years already. And it's been copied by [indiscernible], which for us, it's quite – it's a big question modeling because, I didn't know that the national broadcaster will compete against private networks on non-OTT basis. To me, this is distribution where [indiscernible] should be a broadcaster. 26:19 In fact, we made our presentation during the, [indiscernible] renewable items. We expect the decisions to come forward and figuring out with the CRPC thing about this. And so, we look forward to continue to expect a competitive environment, but we certainly have a leadership position and we would continue to invest to make sure that we remain number one on this segment. Sorry for the long answer.
Jerome Dubreuil: 26:48 No, that's fine. And then second on the back to school, do you feel that you had the full benefit out of this or this was still not a normal year just trying to assess your, if your net adds could be better or similar next year just related to back to school?
Hugues Simard: 27:10 As you all know; this was a fairly active and fairly competitive back to school. We're quite pleased. I mean, forty one in wireless, I mean, you know historically, this is – it's a good quarter in terms of loading for us, but it's one, you know in terms of [indiscernible] it is slightly a bit more challenging with a lot of students back and taking in lower price points. 27:43 And we had significantly more, bring your own device BYOD this quarter, seventy four percent of course compared to sixty six percent last year same quarter. So that also contributed to that. So, I think all in all in terms of activity, I'd qualify it as very competitive, so pressure on the average invoice, but we're fairly pleased with our loading. 28:18 We did very well. We did very well against competition in terms of growth ads in our market share. So, it was very busy and very competitive, but we feel that we came out of it especially with FIS, which accounts for most of our growth on the right side of this equation.
Jerome Dubreuil: 28:40 Thank you.
Operator: 28:40 Next question comes from Jeff Fan from Scotiabank. Please go ahead.
Jeff Fan: 28:53 Thank you. Good morning, everybody. A question for Pierre Karl, you've obviously been very vocal about the national expansion, but I think the market is sitting back looking at the various obstacle that you still have. You mentioned the lawsuit against Rogers and Quebec in the spectrum, yes, there's no injunction, but you still have a court case next year. I think the MVNO costs is so much clear. So, how can investors gain some comfort that you're making a good investment decision here? Can you just kind of shed some light on the thing that you're looking at to ensure that you're making the right investment decision? Thanks.
Pierre Karl Péladeau: 29:44 Good. As you know, Jeff, we the CRTC provide what I would call favorable conditions. In fact, probably, we can say the most favorable condition ever. Out of the decision, this summer, you know, what we call twenty twenty one/130 MVNO is now regulated and the incumbents we need to open their network to new competitors. As you know, we started our wireless business in two thousand six with Rogers network as MVNO would participate in twenty eighteen and well. 30:26 We made representation in twenty eight to make sure if government was looking to have competition, the best way to do so, will be to provide certain conditions, one of which probably the most important would be the set aside spectrum during the auction also mandatory roaming and few other conditions. 30:51 The late that [Jean-François] understood is the situation and then therefore decided to administer to open the auction with those conditions. We participated, we bought the entire forty megahertz in Quebec, and we started to build our own network. Throughout all those years billing our net providing one of the best services, we've been able to achieve significant portion of the market share. 31:21 Fortunately, that was able to provide a growing opportunity in terms of revenues and EBITDA and if we were not to have this segment of business, I don't know, obviously, we cannot redo the timeframe, but ten years later, I think that we should conclude this decision, which was at the beginning probably questioned was vendor for delivering some significant amount of growth and EBITDA. 32:00 What is the plan in the rest of Canada, with the MVNO regulated environment sanatory to be made with our acquisition spectrum, we have all the assets to be able know to provide a good service. In terms of investments, as you know, we already have invoicing system. We already have call centers. We already have our digital platform. 32:28 We have all the assets necessary you know to provide a decent commercial proposal. And you don't need to go very far. You guys which are following the telecom industry those know well, how competitors and marketplaces in Quebec when we compare with the rest of Canada. Sorry about this, but this is – so, I would like to give you an example and you can go on my [indiscernible] account for more illustrations, but last week, many newspapers, so if you go to see on October twenty eight, so last Thursday, you will see that in the Vancouver Sun, in the Edmonton Journal, in the Calgary Herald, and the National Post, in the Ottawa Citizen that you have an ad of Bell, which is proposing twenty gig for eighty bucks. 33:46 This is the same ad and you go in the Montreal Gazette with the same ad for the same proposal, twenty gig, you're finding it at sixty five dollars. This is the most recent example, but it's been like this for many, many times. 34:09 So, we look forward to be able to piggyback on a very lucrative market and when I'm looking about results of Rogers and the quarterly results of Bell with their significant amount of new ads at the prices that we're seeing, I guess the room for us to grow there had a decent investment price and as you know, we have seven years to build our network. 34:45 Seven years in a technological environment we're seeing new perspective, which is bringing interesting opportunities to reduce the cost of building a network. All those items for me and for us is providing favorable conditions to move forward and expect growth elsewhere there where in Quebec, which is, I would see a quite mature market for us.
Jeff Fan: 35:25 So, just a quick follow-up, it sounds like you're talking about a capital light expansion using MVNO first, so are you saying you don't need to pursue freedom in order to address your national expansion and the opportunity?
Pierre Karl Péladeau: 35:45 Well, obviously this is a very important matter. And maybe you have more insight than we do, but we get problems to understand what's going on with Rogers and Shaw and we're figuring out what will be the outcome of everything. But we're not going to open our play here, and certainly again, we are seeing that we considered that we have – there also all the proper tools and names to be the best of quarter for [indiscernible]. So, what is interesting is that we have many alternatives and this is what we should conclude for the moment.
Jeff Fan: 36:36 Fair enough. Thank you.
Pierre Karl Péladeau: 36:39 Thanks, Jeff.
Operator: 36:41 All right. Next question comes from Tim Casey from BMO. Please go ahead.
Tim Casey: 36:49 Thanks. Good morning. Two from me. Just following up Jeff's question, Pierre Karl, should we assume then that you'll be launching FIS imminently, no matter how the freedom, any remedies related to freedom play out and no matter how MVNO discussions proceed and is that what you're signaling to the market here? And just an accounting question for Hugues. Regarding working capital, it's been a huge use so far this year, and I know that's related to handset acquisition in the IP and whatnot, but just wondering if you expect that to swing in Q4 or more likely in twenty twenty two? Thank you.
Pierre Karl Péladeau: 37:38 Yes. Thanks Tim. We unfortunately don't control the different actions that are taken by the income to stop and to refrain our capacity to offer a proposal to Canadians in the different areas where we acquired spectrum. We've been seeing once again that they're completely allergic to competition. When you start suing the government of Canada in a regulated environment, your spectrum comes from the ministry. I mean, it shows how allergic you can be. It’s still a great move. 38:22 You have your own take on this and I have my own. Will they appeal the court decisions of last week by the Federal court of 10 days, will they continue to delay in court the delivery of the licenses by the ministers? All this we don’t know. We also are in front of the CRTC with the more technical discussions regarding how should we connect the different networks? 38:57 How should also access to again, those are technical, but the fall back, the roaming obviously also all the tariffs and the tariffication will be a matter of discussion and eventually arbitration in front of this CRTC. So, in a nutshell, we expect not being able to do it next week and probably not next month, but as soon as the CRTC and the other governmental authorities will move and make sure that competitions will be brought for Canadians and we are ready to move.
Hugues Simard: 39:45 And Tim on your working capital question, I certainly expect the pressure on working capital to continue, stabilize but continue for all the reasons you brought up, they're the right ones, obviously, the IP program and building inventory on many components because of life time increasing. So, I was certainly, I think it's going to stabilize a little bit. It is stabilizing, but I certainly expect to continue on to – at the beginning of twenty twenty two for sure.
Tim Casey: 40:21 Thank you.
Pierre Karl Péladeau: 40:23 Thanks Tim.
Operator: 40:33 Yeah, next question comes from Vince Valentini, TD Securities. Please go ahead.
Vince Valentini: 40:38 Yeah, thank you. Good morning to you Pierre Karl. The first question is, the eighteen point eight million, can you clarify Hugues is at all in the wireless segment or would some of that be in Videotron Wireline as well?
Hugues Simard: 40:53 No it's all in wireless Vince. It's a reversal of AWS licenses that we had accrued for a couple of years. And our regulatory department finally told us that was a mistake and we didn't need to accrue for that because we wouldn't have to pay for these licenses. So, it was one hundred percent reverse last year in the wireless business.
Vince Valentini: 41:17 Thank you. So, if we take that headwind or one-time item into consideration, the typical question you get on wireless EBITDA growth, I assume it's negative year over year, given that eighteen point eight million dollars?
Hugues Simard: 41:34 Actually no. EBITDA growth is small, but it still is positive for the quarter. Even accounting for this.
Vince Valentini: 41:42 So, the Videotron, excluding wireless is down a few percent year over year then?
Hugues Simard: 41:49 Right. I mean, it's pretty flat. I mean, EBITDA as you know for us it depends how you allocate certain network costs, but I mean we – even accounting for that, I think we’re looking flat and slightly positive on the wireless site. Flat on the wireline and slightly positive on the wireless.
Vince Valentini: 42:14 Okay. Hate to make you put on your history cap, but if you go back and adjust last year by eighteen point eight million dollars, it would mean that Q3 twenty Telecommunications Segment EBITDA was down about zero point six percent versus Q3 nineteen, that seems to be out of line with the trend we saw throughout other quarters in twenty twenty, was there something unusual way back in – of nineteen that did caused EBITDA to drop in Q3 last year?
Hugues Simard: 42:49 Yeah, we had another. This is the second year in a row of a one-timer Vince. We also had a reversal of about twenty, actually yet, just slightly over twenty million dollars in the third quarter of twenty nineteen as well. So, last year was pretty, I think from an operational standpoint, the results of Q3 of last year were pretty much in line. It's just we honestly got a bump in the third quarter of twenty nineteen.
Vince Valentini: 43:25 Okay. Got you. That helps. Thank you. And my last question, sorry to go back to the same topic on the wireless expansion, but I want to add this a slightly different way just to be actually clear on this. I think I asked similar question on the last call. If there's is another buyer of freedom and therefore, another fourth carrier that exists in most of the rest of Canada, would you still intend to go forward as an MVNO and then build out a network over seven years and effectively be the fifth player entering the market or is that, is your plans contingent on seeing what happens with the fourth carrier before you decide on being number five?
Pierre Karl Péladeau : 44:07 Vince, we appreciate your assumption, but I think that's not going to be possible to answer. We’ll find out in due time about what's kind of happen and would be, I would say inappropriate to answer things that we don’t know what's going to happen. Can you tell me is the Rogers transaction a one hundred percent we've done? I guess that's what people think or possibly think that could be a different outcome. I don't know. So, for me, no speculating on what's going to happen is not useful.
Vince Valentini: 44:56 Okay. Totally a fair color. I agree with that. I guess implied in your answer though as you are going to survey what does happen as we do get more facts over the next several months as opposed to [indiscernible] forward no matter what, you're almost acknowledging in your answer that things could change and we don't know how the world's is going to unfold and you need to assess as we go along. Is that not a fair interpretation?
Pierre Karl Péladeau: 45:24 Absolutely, I guess that you’re right.
Vince Valentini: 45:26 That’s all I’m trying to get. It’s a dynamic situation and we're all learning as we go. So, Appreciate that color and I'll pass the line.
Pierre Karl Péladeau: 45:37 Thanks Vince.
Operator: 45:39 All right. Next question comes from David McFadgen from Cormark Securities. Please go ahead.
David McFadgen: 45:48 Thank you. A couple of questions. So, just following along the line of questioning regarding wireless expansion across Canada, I’m assuming, well, I shouldn’t assume, would you wait until you have a bundled products before you decided to go across Canada with wireless? And if so, I'm just wondering how that might impact your rollout because I know and in that reseller and he was delayed for two years, by the incumbent to be able to resell their products. I’m just wondering if they could do the same with you and just really slowdown down your rollout?
Pierre Karl Péladeau : 46:36 Yes. Good morning, David. I guess that I will continue as my predecessors have been doing before. I don't think that is appropriate to give us our strategy, our marketing strategy and the different products that we will launch. But you certainly, you know, identify the different things that are available or possible. 47:09 So, I guess what we should say is that it enhance our possibility of moving forward and the capacity to grow our revenues and basically also justify even more than ever our requirement to move forward outside of our historical Quebec to continue to grow the company.
David McFadgen: 47:36 Okay. And then just another question, just on the mobile apps in the quarter. If you look at Q2, it was pretty much flat, it declined a little bit. Again Q3, I thought we sort of had hit the inflection point between the various ABPU profiles between Sales and Videotron, so I was just wondering, did that reverse a little bit or is there some other factor that's caused the mobile apps to decline another one percent in the quarter?
Hugues Simard: 48:09 David, the main issue on ABPU are more BYOD, it is more promotional activity, so, pressure obviously on pricing more increased percentage of growth from FIS, so increased dilutive effect. And also, as I said earlier, generally speaking, you'll remember, I mean, the back to school is not as a typically more challenging ABPU quarter for us. 48:41 Last year, we lost four point three percent on ABPU. And also, you'll notice that our equipment sales are down this quarter. So, that's also part of the ABPU, as you know, so ABPU is a little bit less impacted by that. So, I think generally speaking these explain. I don't think it's a reversal. I think we're still moving. We're still moving towards the same stabilizations that we've been talking about for some quarters. 49:14 And are certainly improving from the minus four and minus three percent that we've been living for the past few quarters before last quarter. So, that's, sort of what I would tell you on ABPU for the quarter.
David McFadgen: 49:32 Okay. And then maybe just a question on CapEx. Can you give us an update on what you expected this year and if possible, can you tell us what you expect for next year, obviously, excluding the wireless spectrum purchase?
Hugues Simard: 49:48 Stability is the name of the game in CapEx, David for us. We're going to come in exactly where we've said we would for this year and are expecting also a very stable CapEx environment for twenty twenty two.
David McFadgen: 50:09 Okay. All right. Thank you.
Hugues Simard: 50:11 Thanks David.
Operator: 50:14 All right. Next question comes from Matthew Griffiths from Bank of America. Please go ahead.
Matthew Griffiths: 50:22 Hi. Thanks for taking the question. Sorry to ask another one on this national expansion issue, but correct me if I'm wrong, from what I've heard you'd would say, are you going to try to engage in – once the terms and conditions are set, are you going to try to engage in negotiations with one of the national providers before you go about trying to maybe acquire spectrum from whatever source that might be and launch the network? Or are we to assume that you may invest capital in spectrum and other items and then down the road start to enter negotiations to see what the actual kind of cost of the operating the facility is based in [MVNO] might be?
Pierre Karl Péladeau: 51:17 Matthew, most of this spectrum have been acquired already. I guess that right now it is a pause phase where again, tellers have been suing the government for bidding them to issue the licenses, we'll find out the outcome of that. We expect as the first decision has been unfavorable to tellers that we'll be able to move forward, but certainly this is a condition to be an MVNO and we look forward to have the conditions. 51:53 We should say that I already sent letters to the different CEOs of the incumbents telling them that we would like to entertain discussions and negotiations regarding their access to the network, and basically the answers that we received is that we look forward to continue the regulatory process, which is basically saying between the lines, stay tuned, but in the lineup and the delay mode. 52:32 So, we look forward to have the proper decisions made by the regulatory authorities namely, the CRTC – is the CRTC will be able to move quickly? And again, I mentioned earlier, we don't control this, but we certainly do the profitable representation [indiscernible] and also, I guess that's in front of the new government, while which is not completely new. 53:02 In fact, the industry minister is [indiscernible] and he's aware and he is the one that was occupying this function before. And I guess that everyone is looking and would have more competition. So, we're also enjoying a favorable political environment.
Matthew Griffiths: 53:25 Okay. And just a follow-up. So, is it Quebecor’s position that the thirty five, the three point five gigahertz spectrum that you have is sufficient to run a competitive network? And maybe just a follow-up to on the self-install rate, if I understood correctly, about ten percent of Helix has been self-installed, and I just wanted to ask if that's meeting your expectations as you benchmark around the industry, do you think that there's room for improvement? And this is like a source of potential margin improvement as we self-install and self-help kind of things can be expanded, how is that progressing generally as a bucket of potential, kind of margin enhancements at Videotron.
Hugues Simard: 54:24 Yeah. On the self-install, Matt, yes, we're actually higher than ten percent. We're growing higher than ten percent on the Helix front. And that is definitely, I mean, the two main two main drivers on margin at this point that are on which we're pushing as hard as we can are the self-install and the digitalization of the whole client contact experience. And so, we're continuing on that. I mean, we're not happy to answer your question. We're not happy with being in the ten percent to fifteen percent range. 55:08 We are happy that it's growing quite fast, but we need to do, we still need to do quite a bit of work on that, but it will be definitely of one of the big drivers, one of big levers of margin improvement going forward, as well as the – like I said, the digitalization and also the simplification of our technological set of platforms and systems, which are being modernized and ultimately leading to much simpler and a much cheaper maintenance and support type of agreements going forward. So, we're working hard on all these front for margin improvement.
Pierre Karl Péladeau : 56:03 On spectrum Matthew, we think that we have a spectrum to start our business. Obviously, if we would add more it will be up here, but we think that we have enough for to start with. As you know, I mean, the auction was quite competitive. We saw incumbents complaining that they paid too much for the spectrum, and then, but I guess that’s their own responsibility of doing this. 56:36 There will be another auction taking place in the months to come. So, that will give us also another opportunity I think that what we should say is that we need to balance everything and again, regarding the competitiveness of the auction. I think that we were at the right place of paying the right amount for the right size regarding our business by at the beginning and where we are coming from and where we would like to go.
Matthew Griffiths: 57:12 Thank you. Very much.
Operator: 57:16 All right. And the last question we currently have in the queue comes from Drew McReynolds from RBC Capital Markets. Please go ahead. Drew, please go ahead, your phone maybe on mute.
Drew McReynolds: 57:36 Sorry. I appreciate squeezing me in here. Just one follow-up, for Hugues. So, thank you for stability comment on CapEx in twenty twenty two. I think that's appreciated among investors in Quebecor. I just wanted to drill down into what that implies in terms of the 5G kind of deployment of roadmap for twenty twenty two. Obviously, there's a ton of moving parts to wireless into network share and arrangement and all of that, but if you could just give us a little sense there, that'd be great. Thank you.
Hugues Simard: 58:16 Yes. I mean, stability on all fronts. I mean, we started, Drew, we started on the four and point five G [indiscernible] call it, whatever you want. I mean, we've been upgrading that and has started along quite some months ago. And we'll continue and 5G, we've always said, of course, we will be there, but it's going to be in our case an incremental – from a CapEx standpoint it is an incremental program, which does not destabilize everything. We're not talking amounts that are destabilizing any of the wireline programs in place the other big ticket items that we have in our CapEx program. 59:09 We have reprioritized many projects on which we had been working and focusing on revenue generating and growth generating programs, which allows us to use some of the puts and the takes to make sure that we on the whole keep our CapEx program pretty stable. So, I think focus on LT events, continuing to invest in 5G, but also on the modernization of our systems that I talked about. 59:49 So, I think we're focusing on the right programs and there was opportunity for us to clean up a few things and to be a little more disciplined in our investments. And I think this is what is showing now.
Drew McReynolds: 60:06 Thank you.
Hugues Simard: 60:08 So, that was the last question. Thank you all. And looking forward, talk with you in the next quarter.
Operator: 60:19 Ladies and gentlemen, this concludes the Quebecor Inc.’s financial results for the twenty twenty one third quarter conference call. Thank you for your participation and have a nice day.